Operator: Welcome to GameStop Corporation’s first quarter 2010 earnings conference call. (Operator Instructions) I would like to remind you that this call is covered by the Safe Harbor disclosure contained in GameStop’s public documents and is the property of GameStop. It is not for rebroadcast or use by any other party without prior written consent of GameStop. At this time, I would like to turn the call over to Dan Dematteo, Chief Executive Officer of GameStop Corporation
Daniel Dematteo: Good morning, and thanks for attending today’s conference call. With me today are Paul Raines, our Chief Operating Officer, Tony Bartell, our Executive VP of Merchandizing and Marketing, Mike Maller, our EVP International and Rob Lloyd, our Senior VP of Accounting and Acting CFO. As we reported today, we had a great quarter and reported record sales and earnings for a Q1. Sales for the first time in a non-holiday quarter exceeded $2 billion as we gained significant market share on new releases during the quarter due to our innovative new release marketing. Paul will give you more color on that later. Our earnings came in at the high end of expectation and in absolute dollars; we’re at an all time high. And, as we mentioned in the release, Q1 earnings have grown at a compound rate of 62% over the last four years. Truly amazing, and Rob will give you more details on the financials. Lastly, we made great progress on our strategic initiatives relating to DLC sales, loyalty program development and browser game marketing which will be discussed later. That being said, there’s a great deal of concern over the health of the industry given the April NPD data. Even as our software sales grew 13% in the quarter, industry software sales for the first quarter were not as strong as last year’s due to a weaker catalogue compared to last year when Mario cart We Fit and We Play continued to sell through in significant numbers. Now in our Q2, we expect U.S. software to be down slightly based on our internal growth expectations and title release schedule. On a month-by-month basis, we expect new video game software to be up in May, due to releases like Red Dead Redemption, which is doing extremely well, USC and Super Mario Galaxy, followed by a decline in June and July, excluding Star Craft 2, as it will fall into the PC software category. But, if you added the two categories together, PC software and video game software, we believe that the industry in the U.S. will show software growth for the quarter. Based on this analysis, we expect earnings to grow in the quarter 9% to 17%. Moving on to Q3, we expect to see double digit growth beginning with the release of Halo Reach followed by Medal of Honor, Fall Out New Vegas, Men NFL 2011, Star Wars, Dead Rising 2, and True Crime. Based on the anticipated strength of these titles, we expect earnings to grow in Q3 by 19% to 28% over last year, and at E3, we will be reviewing titles for Microsoft Natal and Sony’s Move, as we have nothing in our forecast for them. All in all, we expect software sales in the U.S. to grow this year and are holding to our full year guidance of $258 million to $268 million, a 14% to 18% increase over fiscal 2009. While some may be concerned about our use sale growth of 4%, it should be noted that these sales are on top of 32% use growth in Q1 last year. Indeed, our use sales have grown at a compound annual growth rate of 22% over the last four years, so to expect this same torrid growth to continue in unreasonable. We will see growth in use this year. It will be more likely to be in the single digit range driven by expansion and less developed markets outside of the U.S. There have been some questions concerning first user only content and the effect on our use business. We have not seen an impact thus far and as a matter of fact, we will turn this into a positive with our ability to sell DLC through our investments made in technology to market and sell this content in our stores. Paul will elaborate more on that later. This morning, Wal Mart announced a more aggressive e-commerce initiative to reserve new video games. This is an obvious attempt to increase first week market share, which we dominate. Indeed, many titles we have 60% to 70% first week share. We believe our pre-release marketing, exclusive content and the immediate currency provided by our trade-in program allow us to continue to gain market share as it has for the last few years. In addition, the profile of the hard core gamer, often identifies a credit cardless consumer that has purchasing online. So, next Rob will review with you the financials in more detail, then Paul will discuss the state of the business, and lastly we will hold a question and answer session for those issues we have not addressed.
Robert Lloyd: Good morning everyone. This morning we announced our financial results for the first quarter of 2010. Total sales increased 5.1% to $2.08 billion driven by new software sales growth of 13% on the strength of several new title releases which Paul will cover. GameStop gained 500 basis points on new software market share over the prior year quarter. Net earnings were $75.2 million and diluted earnings per share for the quarter were $0.48, which was at the high end of the guidance. Comparable store sales came in at the midpoint of guidance, declining 1.6% primarily due to the supply constraint on new video game consoles throughout the quarter and due to reduced hardware price points. These factors led to a decline in new hardware sales of 12% during the first quarter. We continue to deal with product shortages on the Sony Playstation 3. On a unit basis, X Box 360 and Sony PS3 showed year over year quarterly growth while the Nintendo Wii and DS were down. As Dan mentioned, used product sales increased 4% positively lapping the 32% growth from the first quarter of 2009. We saw solid improvement in our international markets and still expect full year growth in this category to range between 5% and 10%. Used margins were the highest since the first quarter of 2009 and sequentially, the used category margin increased 170 basis point. International used margins improved over last year and moved closer to the U.S. margin rate. International used sales increased as a percentage of overall used sales while setting the margin improvement and resulting in consolidated used margins that were flat to last year. Consolidate gross margins were comparable to the prior year quarter of 27.4%. New hardware margins were flat while new software margins declined 150 basis point. During the quarter, we saw mix shift in the software category from Play Station 2 to newer platform sales. In addition, we offered more value to our customers during our annual Game Day sale resulting in a significant increase in our sales volume, while recognizing there would be an impact on margin. The other category contributed a greater percentage to total sales and the margin rate improved as we gained traction in the sales of digital online game cards. On the balance sheet, at the end of the quarter we had over $430 million in cash. Total company inventory levels decreased 4.5% on a per store basis year over year. As you may recall, in January we announced our $300 million share repurchase program as part of our 2010 capital allocation plan. We have not purchased any shares under the program since our last call in March, leaving us with $53 million for future repurchases. We opened 47 stores in the United States and 27 internationally. Overall, the global store base had a net increase of 36 stores. Our effective tax rate for the first quarter was 34.8% compared to 38% in the first quarter of last year with the decline coming from international tax strategies. Quarterly guidance; as we analyzed our earnings estimates for the next few quarters, we determined that current consensus estimates for the second and third quarters were not appropriately weighted based on historical earnings results or by the expected growth over the next six months. Therefore, in order to provide shareholders with a more accurate business outlook GameStop is going to provide this one-time earnings guidance for the next two quarters. For the second quarter of fiscal 2010, we expect comparable store sales to range from negative 2% to plus 2%. Diluted earnings per share are expected to range from $0.25 to $0.27, a 9% to 17% increase compared to $0.23 in the prior year quarter. Based on our current industry analysis and expected strength in several upcoming new video games software releases, the company is projecting third quarter fiscal 2010 diluted earnings per share to range from $0.38 to $0.41, a 195 to 28% increase over the prior year quarter. We are reiterating our full year 2010 guidance that we first announced on our call in March. Company revenues are still projected to grow between 4% and 6% with comparable store sales ranging from flat to 2%. Earnings per share for the full year are still projected to range from $2.58 to $2.68 representing an EPS growth rate of 14% to 18% based on 2009’s EPS of $2.27 excluding debt retirement costs. Our current expectation for foreign currency exchange rates is that any impact felt by the change in the Euro relative to our initial plan will be offset by the movement in the Canadian and Australian dollars. Now I will turn it over to Paul for his comments.
Paul Raines: I would now like to add some color to our progress in the first quarter and provide an update on our strategic initiatives. As Dan mentioned, we continue to gain share on titles released in the quarter thanks to our unique title launch model. Advanced marketing of exclusive content helped us exceed our pre-order goals during the quarter. Midnight events created an excitement in stores at launch, and trade credits provided the best value proposition for purchasing a new video game. We continue to innovate the title launch process; this quarter leveraging social media to multiple our impressions in media value as well as using our online team to drive traffic both online and in stores. Our title lineup was strong in the first quarter and GameStop’s share of these titles was dominant. Nintendo’s Pokémon Soul Silver Hard Gold was a great success as consumers love GameStop’s exclusive downloadable characters, contributing to a our highest week one share in history with a Nintendo product. DA’s Battlefield Bad Company 2, Sony’s God of War 3, Final Fantasy XIII and Take Two’s Bio Shock 2 rounded out our top titles. On the hardware front, we had a successful launch of the Nintendo DSI LX and led market share at launch on this handheld. Supply on hardware was a continuing challenge this quarter as on an average daily basis, our U.S. stores were out of stock on PS3 for 80% of the time and our out of stocks on Wii was 50% of the time. In spite of that shortage, GameStop gained market share on all three consoles. Our stores team launched a customer service recognition program during the first quarter providing for better technology in tracking out customer survey data. We have also changed processes in store to reduce tasking and allow for enhanced service, continuing to improve our industry leading service levels in store. Our new store performance during the quarter continued to be solid with the portfolio ahead of pro forma. Our real estate renewal process continues to yield rent savings during 2010. Moving on to strategic and digital initiatives, we promoted the online browser game Legends of Zork for several weeks in all of our U.S. stores during the first quarter. Targeted customers received free in-game play cards with purchases at GameStop and they used the codes on cards to enter the game site online. The results were that we added a large number of new game players to Legends of Zork, roughly doubling the audience of that game in four weeks. Our customer acquisition costs were significantly lower than advertising driven customer acquisition, and it is clear to us now that stores can efficiently convert online game players and provide a multi-channel gaming experience. A second strategic initiative we shared with you previously is our in store downloadable content pilot. That will launch in 35 stores in partnership with Microsoft at the end of May. These stores will merchandise a limited amount of DLC and promote that digital content to consumers. Consumers will pay for the content with any form of tender including trade credits. This process will eliminate a lot of the friction of searching and discovering content online and will bring the power of buy/sell/trade to the digital sale. The test will expand the SKU count each month through the summer, going live to our entire U.S. store base in the fall. We are pleased to participate in the launch of electronic arts online pass and sales of DLC on new titles. We support the creation of added downloadable content for popular franchises, as we see that as extending the life of titles and broadening the base of game players. We do not anticipate an impact to our used margins due to this program. The amount of used game buyers currently playing online is low, and as it grows, our proprietary models will manage trade and sale pricing to reach margin goals. Lastly, we believe that the online pass process will allow publishers to better leverage their IP content through DLC sales to both used players and new game buyers. A great example of this trend is this quarter’s launch of Modern Warfare 2 stimulus package from Activision. It gave us an opportunity to promote DLC in store on a popular franchise and we are pleased with the results. We have leading market share on download cards and saw a significant increase in our run rate of point cards during this launch, reaffirming that consumers see GameStop as the destination for purchasing their digital add on content. Market data tells us that GameStop consumers are ahead of the mass market in digital adoption and we see the percent of customers buying both physical games and digital points cards growing rapidly in the first quarter. Our investments in proprietary, point of sale technology have put us in a position to partner with publishers as they grow their digital offerings. Merchandizing and promoting this content as part of the in store and online sales process, extends the reach of the GameStop brand as a multi-channel game destination. We are having conversations with multiple publishers on leveraging the potential of digital sales at GameStop stores. A third strategic initiative we have discussed with you previously is our new loyalty program. In development for over a year, the program will launch in four U.S. markets and 204 stores on Friday, May 28. This program will provide members special access to game related rewards and merchandise based on increased purchases, and we have created proprietary technology at POS and online to differentiate and reward our loyal customers. The loyalty program will roll out to the rest of our United States stores in the fall of this year and will become a major component of our new title marketing efforts. In closing, I would like to thank all of our GameStop associates in 17 countries for their passionate commitment to the video game consumer during the first quarter and now open it up for questions.
Operator: (Operator Instructions) Your first question comes from Colin Sebastian – Lazard Capital Markets.
Colin Sebastian – Lazard Capital Markets: You alluded in your comments to the industry, which from February to April showed a reasonable decline in new software sales, and your sales were up 13% over the same period. I wonder if you attribute all of that to market share gains or is it possible that the data itself might be under estimating industry trends.
Tony Bartel: Based on everything that we’re seeing from a launch perspective and the mix of titles that were launched in the quarter, we believe the information is accurate so we have no reason to believe that it’s inaccurate.
Colin Sebastian – Lazard Capital Markets: Related to that, in terms of linearity of sales of some of the recent releases, I think we’ve heard a lot about sales falling off pretty quickly a week or two after launch for a number of games. Is that what you’re seeing in your stores as well and if so is that trend changing at all?
Daniel Dematteo: What we see is as games continue to broader, especially with online play, we actually see the games do tend to have a longer sale so we are not seeing games fall off precipitously after the first two weeks of launch and we clearly have some very strong catalog titles last year that we did not have this year, and I think that contributed more to the decline as opposed to the quick fall of games that were launched recently.
Operator: You're next question comes from David Magee – Suntrust Robinson Humphrey.
David Magee – Suntrust Robinson Humphrey: Are you seeing much movement in titles from the second half of the year, things that you were expecting in the second half maybe moving to next year? So you see much risk of that at this point?
Robert Lloyd: We don’t see a lot of risk of that. We really see that most of the titles so far that are scheduled and have been talked about for the second half are staying in the second half.
Paul Raines: The second half, we’re going to learn a lot at E3. As you know, a lot of the Natal and Move discussion and move discussion in really being held up until E3 so I think it’s fair to say that we’ll know a lot more after that.
Tony Bartel: We haven’t seen a lot of those titles announced obviously, but of the announced titles, we don’t see a lot of slippage into next year.
Daniel Dematteo: As we’ve said in the past, our fourth quarter plan did not include titles from Natal and Move so hopefully we’re going to see some titles that make us pretty excited about that fourth quarter.
David Magee – Suntrust Robinson Humphrey: Do you have in your plans the impact of the Harbor pieces themselves?
Tony Bartell: No, we don’t have that planned.
Operator: You're next question comes from Benjamin Schachter – Broadpoint AmTech.
Benjamin Schachter – Broadpoint AmTech: You’ve been talking about the loyalty and the in store opportunity for DLC for awhile and I think a lot of people are very interested in seeing how this works. I’m wondering if you can help quantify it and I just wanted to clarify that both loyalty and the DLC feeds are going to go live across all of U.S. this year in the fall.
Paul Raines: Let’s take them one at a time. Obviously, we’re excited about it. Let’s start with DLC. We’ve been working on the technology for DLC for well over a year and I think what’s important to understand is we’ve had to create proprietary point of sale technology in partnership with Microsoft to be able to show that DLC catalog at retail. We’re also working on merchandising and marketing the DLC content in our stores. So this is something that we feel like the industry is moving our way and our investments are starting to really be timely in publishers CCS destination for sales of DLC in store. We will be piloting in, I think we said the 35 stores, in the spring. We’ll be adding SKU’s to the catalog. We’re starting off with a limited catalog and then we’ll be adding select titles and SKU’s over the course of the summer, and we’ll be live in all our U.S. stores in the fall. The timing is based largely on our POS release and the technology rollouts that we have. As far as loyalty, four markets which we’ve not announced, you’ll have to wait until Friday, May 28, because we don’t want to create too much pressure on our stores with too many customers running in, but you will see that in those stores on Friday, the 28th and that will be rolling nationally as well in the fall, riding along with our fall POS release. As far as quantifying, we haven’t disclosed anything on that. Tony, any comments you want to make on that.
Mike Bartel: Other than we have internal goals, which we’ve not published yet in terms of number of consumers we expect to sign up both this year and next year. And from those consumers, we would expect to get a much larger share of wallet. So yes, we do have some internal quantifications, but we’ve not make them public. As it relates to quantification of the DLC, I think it may be soon to quantify it, but I think that what we understand, as many in the industry do, is that the discovery in the marketing of DLC is very under performed at this point in time and by us doing the marketing, showing it on our interactive kiosks, prompting it at our point of sale, and making the transaction seamless at point of sale, we believe we’re really going to drive this whole category not only for GameStop but for the industry.
Paul Raines: One of the numbers we’re watching is the percent of customers with a digital and a physical purchase that overlap, and that number is really moving quickly for us. We also are going to watch closely the attach rate of DLC to new and used title launches and that’s what’s going to help us model the data, but too early yet to model that out publicly I think.
Benjamin Schachter – Broadpoint AmTech: Red Dead Redemption you mentioned doing really well, I was wondering if you could put that in context versus some other titles and just what you might expect for that title going forward.
Paul Raines: Red Dead Redemption has been one of the very positive surprises for us. It probably has outperformed as large as any title has so far year to date so we’re very excited with Red Dead Redemption and we see that it’s not letting up. We continue to re-order and we expect that to have a really strong lag and continue to be a very successful title.
Operator: You're next question comes from William Armstrong – C.L. King & Associates.
William Armstrong – C.L. King & Associates: I was wondering if you could discuss in a little more detail your used sales, specifically U.S. versus international. I think you said the international used margins on sales were up. I was wondering if you could flesh that out for us a little bit.
Robert Lloyd: The U.S. sales were up single digits. The international sales were up double digits. We were very pleased with the results. I think Mike might have some further commentary on our efforts there to roll out best practices.
Mike Maller: Our focus on implementing best practices across the region continued to gain traction during the quarter. Our efforts centered on improving the buy/sell/refurb model through process improvement, the expansion of refurb capabilities and the implementation of proprietary technology. As Rob said, our used margins increased over the prior year quarter and used sales increased double digits over the same period.
William Armstrong – C.L. King & Associates: Are used margins on the international side approaching that of the U.S. yet?
Robert Lloyd: The gap has closed. The gap has narrowed. It has not closed, but we are pleased with the direction.
Operator: You're next question comes from Robert Higgenbotham – Goldman Sachs.
Robert Higgenbotham – Goldman Sachs: A similar question on the new front, that is, could you give us some color on what trends look like across the different regions for new software sales.
Paul Raines: Again, we were very pleased with new software sales overall both domestically and internationally. The increases were in the double digits.
Robert Higgenbotham – Goldman Sachs: As you look at how your used trends decelerated yet your new sales accelerated, how did the pattern of trade ins change? Those moved in opposite direction. How would you characterize your current inventory in the used business?
Robert Lloyd: Our current inventory in the used business is approximately flat to where it was last year so we are in a good inventory position so we have not really seen any dramatic changes in trend. There is one exception to that. We clearly had a very strong program on the DSI last year, and so we obviously didn’t have as many DS’s coming back in this year, but in spite of that, our inventory remains in a very good position from a used perspective.
Daniel Dematteo: I also want to add to Rob’s comment regarding new software sales that internationally we continue to gain market share in all markets where market share data is available on new software.
Operator: You're next question comes from Tony Wible – Janney Capital Markets.
Tony Wible – Janney Capital Markets: I was hoping you could comment on what the margin profile on the downloadable content will be and also if you could highlight just some of the perks that have been finalized for the loyalty program that might be noteworthy.
Tony Bartel: In terms of that, we’ve not disclosed those margins. We’re continuing to work with all of our publishing partners and obviously the first party publishers to work on those margins. We have not disclosed that margin structure at this point.
Paul Raines: The loyalty program will be very unique. It will be a program that’s based on all activity whether it’s online or in our store, whether it has to do with trades or used sales or the purchase of new product, DLC or even some activities. So it will be a very broad ranging loyalty program.
Tony Wible – Janney Capital Markets: Will it be free or do you have to pay into it?
Paul Raines: At this point we will have both a free level as well as paid level, and so we have an option for either. The benefits of that will not only be discounts on some games, but more importantly will be very highly acclaimed perks and awards that gamers highly value that are very unique and only GameStop can offer. We’re working very closely with the publishers in order to really generate those perks.
Daniel Dematteo: We might even let you in an hour early to a midnight launch if you buy enough.
Paul Raines: Some of the rewards that the publishers have bought forward we know are going to be in great demand and will dramatically drive people to this program.
Daniel Dematteo: We’re very excited about the work.
Tony Wible – Janney Capital Markets: Have you done beta tests and stuff like that?
Paul Raines: Far beyond beta tests. That would be one but I can’t disclose everything at this point, but we have some that go far beyond beta tests. Think about placing yourself actually almost in the game, things like that where we are going to give you experiences that no one else can offer.
Operator: You're next question comes from Anthony Gikas – Piper Jaffray.
Anthony Gikas – Piper Jaffray: I looks like new games sales peaked. Packaged goods software sales peaked back in 2008. Could you talk a little bit about when does the used game business peak or is it just grow throughout the cycle and any view on the market next year? Do you anticipate growing the top line next year?
Daniel Dematteo: 2008 you’re right, was the peak software year, but as we did the math once before, and I think talked about it on this call, if you took out from both 2009 and 2008 the music category which was clearly an aberrant not long standing category, actually sales were flat year over year and if you believe this year, what the data looks like given our analysis, the industry will grow slightly this year. Now having said that, forecasting into 2011, is a little soon. However, we believe that in Natal and the Move as a category and a new category, will generate a lot of creativity amongst the publishers and that will probably provide, not knowing all the titles, a growth situation for 2011. So I think that again X out the music category, 2009 was not that bad. 2010 should grow and 2011 hopefully with Natal and Move turns us into another growth year.
Mike Maller: I’d also say advancements in 3D seem to be pretty high.
Daniel Dematteo: Lastly, at the industry level, we believe we’ll continue to gain share through new store openings, new initiatives, our loyalty program, the DLC program etc., that we’ve outlined here. As a matter of fact, I would envision our market share of DLC to be possibly double what our market share is in box software.
Paul Raines: Given the fact that’s such a nascent industry at this point and lack of discoverability that exists, we believe that will be a major growth engine for the industry.
Daniel Dematteo: One comment on the used business is, we’ve shared with you before on this call and in meetings that the awareness of the buy/sell/trade model, even among our consumers is still relatively low, in the 30% to 40% range, so that gives us really a lot of optimism around the headroom around buy/sell/trade and the ability to use that to drive used and new growth.
Anthony Gikas – Piper Jaffray: So the used software sales don’t necessarily peak one or two or three years after new. You think it grows to the end of the cycle?
Daniel Dematteo: I think the used video game set will grow. As long as new is growing, used will continue to grow and as long as we continue to grow the awareness of our used trade in program, which we are continuing to do more and more internationally, as the international components are catching up to the U.S., they’re moving in the right direction. Our loyalty program is also meant to help stimulate trade ins, so we have a lot of initiatives to continue to grow the used as a portion of our new. But used will grow like new over time because people are using the used games as currency to buy new games.
Operator: You're next question comes from Arvind Bhatia – Sterne Agee.
Arvind Bhatia – Sterne Agee: I wanted to go back to the loyalty program, which I think you had a lot of success with in France. I’m wondering if you’re able to share some of the results from France so we can start to at least think in terms of forming some real expectations there. It might be early, but the Wal Mart promotion that you alluded to, do you have some color on how aggressive you think this is going to be and how long you anticipate or do you have any information you can share with us on how to think about the impact of this.
Tony Bartel: Let me share with you a couple of results from the French test. What we have seen is that first of all, we have a very high utilization rate of the loyalty program. 87% of the customers in France actually participate in the loyalty program, so we have a very high participation rate. Whereas we’re not modeling that internally, simply because that is a best in class process, those are the results that we are getting in France. We have also seen significant market share increases among the people who are in the program in France versus people who are not in the program in France, and so we have modeled that into our internal documentation as well. But I am not willing to disclose that information at this point.
Daniel Dematteo: The answer on the Wal Mart, I’m not sure about the sustainability. They announced the program to launch their new interactive site or website on that, so I’m not sure how long they plan on doing that. As I said before, we think our unique advantages in our in store release marketing, ability to trade and get the immediate currency etc., is something that has allowed us to continue to gain market share.
Arvind Bhatia – Sterne Agee: The tax rate this quarter 35%. What should we be using for the rest of the year and what was stock based comp?
Robert Lloyd: I’ll have to get back to you on the stock based comp number. On the tax rate, I think that you can model a number for the year that’s comparable with fiscal 2009.
Operator: You're next question comes from Edward Williams – BMO Capital Markets.
Edward Williams – BMO Capital Markets: Can you comment about the growth in web based downloadable PC game sales and what sort of an effort you’re taking at this point to take that GameStop.com and turn it into not necessarily a distribution channel but a platform.
Tony Bartel: I’m an unclear. There are a lot of metrics on web based download, and definitely there’s growth I that area, and so we watch that closely. There are a lot of different reports that articulate those growth rates. I can’t give you a particular growth rate that we see in that category. As to our efforts though, on GameStop.com, definitely in our roadmap, we see that we need to expand and will expand our downloadable PC title capability and we expect that to grow. It’s already grown at a very quick rate and we expect that to grow exponentially as we develop that capability on GameStop.com and you should see that later this year.
Paul Raines: As a game platform, GameStop.com is the platform to play games.
Tony Bartel: Definitely GameStop.com is moving more towards a digital platform where the people can access all the games that they want to play in the manner that they’d like to play them whether that be purchase them as packaged goods, whether that be download them in a PC based format, download DLC say on a browser based technology or even look from a mobile standpoint, discover mobile applications. We believe that all of those are important gaming opportunities. We believe that people stop at GameStop, our customers want to game in that manner and what we want GameStop.com to become is a one stop shop for gamers, and so we anticipate we will have all that capability. You’ll see that in our roadmap that will occur within the next 18 months.
Paul Raines: One thing to add to that, if you think about the platform Tony’s talking about, the other interesting thing is, the stores as a customer acquisition engine. As we mentioned in our remarks about Zork, the stores as a customer acquisition engine for that platform are very efficient vehicle and it gives you a sense of what we think are the possibilities around leveraging that footprint. So it’s a very interesting acquisition vehicle as well as a great potential platform.
Edward Williams – BMO Capital Markets: To follow up on the downloadable for a moment, how significant, if you look at PC game sales for you, how significant is the downloadable PC sales through GameStop.com versus the packaged goods PC sales through the store channel? Is it measurable? It is a third of it or is it just not significant at this point? Any clarity along those lines would be helpful.
Paul Raines: It’s a small part of our business but a very fast growing part of our business, so it is measurable and it’s growing at a very fast rate. The other thing I would add on the GameStop.com, it will be fully integrated with loyalty as well, and that’s a very important part. As we roll out our loyalty program, GameStop.com will participate as well.
Edward Williams – BMO Capital Markets: Will that be fully integrated when the test begins on May 28?
Tony Bartel: That will be fully integrated when we roll it out nationally.
Operator: You're next question comes from Mike Hickey – Janco Partners.
Mike Hickey – Janco Partners: Can you quantify the foreign exchange impact for the quarter and your non comparable store sales?
Robert Lloyd: For the quarter, the movement in FX rates added approximately $60 million in sales and just under $1 million in operating earnings. Non-comparable store sales, that’s not typically a number that we disclose.
Mike Hickey – Janco Partners: It looks like your SG&A cost per store has trended up the last three quarters. Is that a trend that we should model for the rest of the year?
Robert Lloyd: I think that for the full year what you can expect is as we talked about in March, our SG&A will increase 30 to 40 basis points from the rate last year over the full year for 2010, again relating to our investments and our initiatives.
Mike Hickey – Janco Partners: I was curious what your thoughts are in terms of the growth opportunity for Natal and Move. Is it the accessories kind of penetrating the existing install base or is it in your view kind of driving the overall install base, if you could compare and contrast the two.
Daniel Dematteo: We’ll probably have to hold and wait until we come back from E3 and see the titles and see what they’re appealing to etc. My guess would be they talked about expanding the audience for gaming and so I think you will probably see titles targeted towards the existing base and I think we’ll see titles that are clearly expansionary. So too soon to tell, but again, pretty excited about it and we think they could very well be drivers of new game software sales for the late part of this year and into 2011, as well as system sellers.
Paul Raines: The game play is as compelling as anybody on our team has seen, and our team has really seen it all in video games.
Daniel Dematteo: As you can see, our market share gains are driving our earnings growth. Our new initiatives such as our new loyalty program, DLC sales in store and other investments have been designed to keep this market share growing. Thank you for attending today’s call.